Riikka Toivonen: Good afternoon, everyone, and welcome to Neste's Q4 and Full Year 2024 Results Webcast. Today, we are broadcasting you live from London where we will also be hosting our Capital Markets update later today. I want to welcome you all to join [indiscernible] and the webcast link is available on our website. Since we have live audience here today, I would like to extend a warm welcome to all of you here in the room as well. My name is Riikka Toivonen and I'm part of Neste's Investor Relations team. I will be your host for this afternoon. Joining me today are Heikki Malinen, our President and CEO; and Anssi Tammilehto, Neste's Interim CFO. We will begin with presentations followed by a Q&A session. As usual, we will also take questions from those joining us online. But today, since we have live audience, we will also take questions from the room. Presentation is available on our website, neste.com/investors. Before we begin, please take a note of the disclaimer, as today's discussion will include forward-looking statements. And with that, I'm pleased to hand over to our President and CEO, Heikki Malinen. Welcome.
Heikki Malinen: Thank you. Good afternoon everybody. Nice to see so many of you here. I look forward to a very lively and good interaction today with you and with those folks on online as well. So today, the program will be the following. We will first put Anssi, who will go through the Q4 results as well as talk about 2024, and then we'll take a little break after about an hour after questions, and then we will move on to our CMU section, which will be starting with a fairly comprehensive presentation by myself, followed then by Anssi's commentary, more from a CFO angle, and then we'll be happy to take your questions. So, there's a lot of material to go through today, so I look forward to working through them with you. So, let me start with the first slide here today. As Riikka mentioned, safety really is the highest priority at Neste. The industry we operate in is actually very sensitive, fires, et cetera, can create a lot of damage. I'd say at Neste, we want to make sure everybody comes and goes home safe and we have no environmental issues. So, it is really extremely important and we pay a lot of attention and focus to it. If we look at the statistics of our safety performance, I can say that we have, over the last decade, we have made a fair amount of progress. But over the last two years, our progress has slowed down. And in some ways, if you look at the recordable incident frequency rate, you can say that we've actually gone a few steps backwards. It just shows us that we have our work cut out for us. Last year in 2024, we had a number of incidents in our facilities. We had a fire in Rotterdam. We had some other issues in Singapore and so forth. All of them were managed very professionally and very quickly. But anyway, this shows that one needs to be very diligent and really need to manage this internally in a way that these things just do not happen. So, we will continue the work, and I'm personally as CEO very much involved in that. 2024 and brief. Well, I think as the title of the presentation said, we are living through some challenging times at Neste and looking at the financial performance and in particularly when you compare the financial performance of 2024, to prior years, 2024 was a tough year for the company. The financial performance is in Norway satisfactory -- it's unsatisfactory and in many ways, I like to say it's unsustainable. And so we really have to take a lot of actions to turn around the corner. There were many factors that impacted our business. I think from the renewable product side, of course, the big challenge we face is simply overcapacity. There's been a strong belief in real growth. It's driven by mandates. And I'll talk about that in the CMU section. But today, we are going through a period of digestion in terms of the overcapacity and that has impacted our margins. On the oil product side, which is an important part. It's an important leg of Neste. So, we have had some years with very high margins and now the margins have pretty much normalized to where they have been over the longer term. We have a lot of good capacity. We have modern assets. But also in this area, in particular, in the fourth quarter, we did not deliver all the volume we wanted to deliver. So, in that respect, Q4 was a also disappointment. So, a lot of work needs to be done, and it will be done. Looking at the fourth quarter, and putting that also in the annual context, you still see some figures for 2020 towards 2024. You can just see the significant spike in earnings in 2022 and 2023. And then where we ended up with €1.25 billion of comparable EBITDA last year. The company is investing heavily. We at Neste believe very strongly that this is a growth industry and we will give you more information on this -- on why I believe it's a growth industry also long-term in the next presentations. But against the backdrop of that opportunity, the company is investing and has invested. And so for that reason, of course, you can see those spikes, those bars in the middle being very high. Overall, last year, we spent €1.6 billion, and that includes also a turnaround. In Porvoo, we do these turnarounds nowadays at roughly about a two and a half year frequency. So, the turnaround last year would have been about €400 million in the bulk of CapEx. And the cash flow before financing items ended up negative. We had a good rebound in the fourth quarter, but still ended up negative figures. And here, you can then see the Q4 numbers in a snapshot. So, €168 million of EBITDA for the whole quarter. Comparable sales margin for the renewable side at $242 and the decline is quite remarkable when you compare it to $813 in the comparative period, so a very significant drop. Positive was that our sales volume did increase in renewables. But as I said, we actually could have produced even more. So, as CEO, I need to make sure that our reliability of our plants gets better. So, we could have produced more. The refining margins came down to $11.8 per barrel and on the oil side, production was a bit over 3 million tons. Now, the numbers are not impressive by any chance, any means. And as I said, I mean, they're not satisfactory. But I still want to say that at Neste, people do a lot of good things. And internally, we have a number of things to be happy about. Let me just highlight a few of them to give you a more comprehensive and fuller picture. So, we are improving the foundation for value creation. We are moving forward with our investments. The assets we have built now Singapore, second line, the conversion in Rotterdam Number One line, which, by the way, will be producing SAF here in the first quarter. So, these are all very positive things. We're also strengthening our SAF sales, investing a lot of effort to find new customers to work with channel partners to increase that. And we made good progress on the SAF sales last year. As you know, feedstock, used cooking oil, animal fats, and novo [ph] vegetable oils, they're very important source of value creation for us. The streams of molecules that we pick up from around the world, it's quite a logistic challenge. And I think that's something where Neste really stands out as being very good at this. We have opened up offices now in Brazil. We have activities now in India to further extend and widen our pool of potential sources of these valuable feedstocks. We also sold our first volumes to -- big volumes to Canada. We announced an important deal there with their Canada, Chicago Airport, O'Hare, you see our product there, positive things. And so -- and if you look at our margins, statistically, if you compare them, even though they are low, they are -- we are getting a premium despite the weak market. And Anssi will show you some more detailed information on where that -- how we justify that premium, where that's really coming from. So, that was sort of my intro to Q4. And I said when we get to the CMU, I will be doing most of the talking here in the front end. But I'll let Anssi walk through the numbers now and you get the more detailed picture. I'll come back, talk about the outlook a bit then. And I will also make some commentary about today's announcement regarding the next steps on the full potential program, what we're going to do, but I will leave the bulk of the story then to the CMU. Anssi, please.
Anssi Tammilehto: Thank you. So, good afternoon all. Nice to see you all here live and also online. So, let's go through the Q4 2024 and also full year 2024 results. As Heikki already alluded you to the topic, the results obviously weren't satisfactory to Neste and various reasons, of course. But I will first walk you through the industry and how we see the market environment that has been developing quite dramatically even during the last couple of years. So, as you can see, of course, in 2022, 2023, we had experienced quite extraordinarily high margins in this industry. The market was short, feedstock prices weren't inflated that much. And also, of course, the diesel price plays a role in this margin creation. Also the bio ticket prices were supporting the margin. And here in this graph in the solid line, you can see the renewable diesel quote in ARA area in Europe, deducted by feedstock costs -- yield-adjusted feedstock costs basically. And you can see that even that came down during 2024. Also, -- when you take also the production costs into account, you landed somewhere around the equivalent to the sales margin of Neste. But of course, as mentioned, we have a premium on top of that. But that is the -- methodology is the same approximately then how you calculate our sales margin. So, you take out the production costs, yield, and then the feedstock, obviously and that comprises the majority of the cost side of things. There was a spike, obviously, in Q4 2024, as you can see clearly in the picture also. But it was quite short-lived and due to the operational topics we had both in Singapore and in Rotterdam, we did not enjoy those high margins on spot basis. Also, our term ratio was quite high during Q4. So, that was short-lived as mentioned. But if we then take into account how we generate premium on top of this reference margin, we have been discussing this a lot with you and we have been going through some of the topics. But I think it's worth mentioning that what drove the 2024 premiums on top of the reference price. First of all, I think what matters is that we are acting globally. We have production in three continents in California, in Finland, Rotterdam, and Singapore. This gives us lots of opportunities to just optimize and maximize margin wherever we see the best potential at a given time. At the same time, our feedstock integration, whether it's collection or trading capabilities or logistics capabilities give us an advantage in that sense. Also, of course, term deals impacted the 2024 margins, and we typically negotiate this annually. So, the term deals were made predominantly in 2023. SAF had an accretive impact on the sales margin in 2024 despite the fact that the markets basically became more pressed during 2024 in SAF also and the price for SAF fell. Also, what impacted positively our margin in 2024 was the hedging that had a positive impact. But then again, poor availability in Q4 than on the opposite direction. So, these are the topics impacting our 2024 margin. And now when you follow the reference margin from different external service providers, you can see that, that's not the entire truth of the story because we make something on top of that. Well, what changes in 2025 and maybe a couple of years beyond is, of course, certain regulatory topics as described on the right-hand side of the slide, for example, the antidumping and anti-subsidy, tariff potentials in the EU. How does the CFBC play out in the U.S. point of view? So, we don't know all the details yet how that will be implemented, but we, of course, have some sense what is going to happen. Also the voluntary SAF demand, that's something that remains to be seen. We only have the mandates in place in EU and U.K., but this is something that we will have to just wait and see. Also, the markets are becoming more liquid and also more volatile, which actually means that we have more opportunities to optimize our margin in those prevailing market conditions. And this remains critical for us, I think, going forward. And we need to be flexible to capture the opportunities where they are. And then also something to take into account is, of course, our own actions with regards to both cost competitiveness and efficiency. If we then take the next slide and go through the Q4 results, all of our businesses contributed to the decreasing comparable EBITDA in 2024 compared to the previous year. As you can see, the renewable products in Q4 was €420 million, below last year's level. Oil Products, minus €177 million, also marketing and services, suffering a bit from the warm winter and slow heating oil demand, and then also in Others, others also a negative minus €30 million. So, we landed in €168 million. And if we look at then the bridge by driver, we can clearly see that despite the fact that we were able to sell more in the renewal products. As Heikki mentioned, we could have sold more. But due to the operational hiccups in Singapore and Rotterdam that wasn't the case. So, the remainder of the impact comes, of course, from the sales margin, both in OP and RP, as mentioned. The picture is pretty much similar in the full year picture. So if we look at the renewable products, almost €1.4 billion decrease in full year renewable products and minus €800 million in Oil Products. So, of course, a significant decrease. And we landed in €1.252 billion. And the picture from driver point of view remains the same. So, basically, sales margin contributing to a vast majority of the difference. Porvoo turnaround in Q2 also plays a part in that sales volume, netting the increase from renewable products. If we look at our financial targets for 2024, we can see that the return on average capital employed, obviously, didn't meet our target of 15%. We were below our target of 40% in leverage at 36.1%. That was a slight increase quarter-on-quarter, but this is one of the key items we need to focus also going forward to keep our leverage under 40%. And we have updated our financial targets for the years 2025 and 2026, and we are aiming to achieve the €350 million run rate EBITDA improvement from the performance improvement program and also -- and by the way, out of that, €250 million are operational costs. And then, of course, to maintain the investment-grade credit rating, and we need to stay below 40% leverage. And Heikki will address these topics more in his later section in this webcast. If we then just dig a bit deeper on the details in Renewable Products, as you saw, the sales volumes increased, that was a positive thing. We could have, of course, increased even more. And this is something that remains then as a key priority for Neste. SAF volume also increased quite significantly, but of course, could have been even higher. The share of North American and European sales volume was a bit more even compared to a year ago, so at 47%/53%. And the main elements contributing to the decreasing sales margin were basically the diesel price that was down approximately 20%. RIN D4 price in Q4 was still down by almost 20% as well. Of course, we had lower premiums in Europe compared to the 2023 levels. And then also the operational challenges that contributed by two ways, basically, the yields, production costs, and then also the lower utilization rate. So, overall, the efficiency just wasn't there. So, we need to improve on that side. In Oil Products, we have seen now a more normal level in a way, normalizing total refining margin, if we take the market into account. So, the comparison period was still quite high after the energy crisis at $18.9 per barrel, whereas now it was $11.8. Utilization rate a bit below previous year's level of 92. So, we landed in 88, but all in all, a solid performance on that front in Oil Products. And looking at the marketing and services then, I think it's safe to say that the returns are on a sufficient level. I think over 30% returns. It's a good return on this business. But overall, the sales volumes were, to some extent, pressured as the demand wasn't that high due to the warm weather and intense competition in Finland and Baltics. So, that is about it from the financial point of view, and we will have a chance to discuss those also later. I would like to still note when Heikki is soon coming and discussing the current topics and the guidance for this year. I showed you the reference margin picture, and you can follow obviously the quotes from the market from different service providers, for example, from our website, where we have now the European used cooking oil-based RD price and also the U.S. used cooking oil and soybean oil price there and also RINs and LCFS, they, of course, are a major contributor to the U.S. margin. And we discussed the premium drivers of the company. We don't know exactly, of course, how the regulatory frameworks will develop, but those can be certainly monitored. And we are also now talking about sales volume for 2025, so we also have included in the appendix of this presentation, an illustration how the 2024 sales volumes have been distributed globally and by product and also our view that what are the drivers of change going to 2025. There are regulatory topics and then there are also our own operational topics. Okay. But I'll leave it to Heikki.
Heikki Malinen: Thank you, Anssi. Okay. So, let's talk a bit about the update and guidance here. So, this morning, we communicated the key conclusions from the work we have done on the full potential analysis. And as I said in a moment when we get to the CMU, we'll do a deep dive. But with this slide for purposes of this presentation, I just want to highlight the key, let's say, areas of focus and conclusions from the work we have done. And, as you may recall, when I started, in October, so we launched this analysis. It was comprehensive. It's been very systematic. We've really looked at the company from different angles, both top down, but also a bottom up in certain areas to get a full and as complete the picture as it's possible within this fairly abbreviated time. So, a couple of observations. First of all, I think if we look at the Neste over the last maybe three, four years, Neste is a very innovative company. We've seen a lot of potential to grow our business in many areas of climate change and energy transition. But given where the markets are, given our financial position at the moment, given the need to improve our financial performance, I really feel very strongly that it is a moment where we have to renew the focus on the core. And the core is, of course, are traditional all products, but most importantly, renewable products and RD and SAF. Also, we are kicking off a performance improvement program. We need to now work very diligently to extract more value in the short-term to our bottom-line. And so there's a program, and I'll discuss that a bit later. We are updating our financial targets. The old ones don't really work. And they're not sort of matching where we want to go, and so we are communicating new targets and new thoughts on capital allocation. The balance sheet strength is important. So therefore, speed capital allocation will be needed. The dividend proposal, you've seen the Board of Directors proposing a more modest level of dividend to the Annual Shareholders' Meeting. And the Rotterdam expansion schedule has been revised. We've done -- since I joined a very, I would say, detailed analysis on Rotterdam to understand where are we really both in terms of schedule and in terms of our understanding of costs, and so we're sharing that information with you today. And then finally, unfortunately, we have to initiate change negotiations. It's a hard day for Neste employees, but our market has changed so fundamentally. Our financial situation has changed, we need to reduce our fixed cost base. And so negotiations will start. And we, as an employer, will do our best to support our employees during this difficult transition period. In terms of the financial targets and capital allocation, we are now setting targets for two years. So, this is only a slide that covers 2025 and 2026 only. So, we're not taking any position beyond that timeframe. So, for the two years, the target is to increase our EBITDA run rate by €350 million, of which costed out -- operational cost takeout will be €250 million. Our intention is to maintain our leverage below the 40% level that has been communicated also earlier. Regarding CapEx. So we are estimating that our CapEx needs for the two years will be €2.4 billion. They will consist of €1.3 billion to continue and completing Rotterdam, €0.9 billion for turnarounds and maintenance, of course, and then €200 million for other things. And then the dividend for fiscal year 2024 is the proposed €0.20 to the AGM. And I want to also maintain -- mention that as backdrop to all of this, our intention is to try to maintain the company's investment-grade credit rating. The market outlook for 2025, this, of course, it's especially SAF, it's market in very early parts of its history. So, of course, making longer term projections, it's not easy. The uncertainty in the global economic environment and the global geopolitical situation in particular, are expected to cause ongoing market volatility for us in our business. The market for renewable fuels is expected to be oversupplied and therefore challenging in 2025. Possible changes in the regulatory framework, especially in the United States and Europe will have an impact on Neste's overall supply chain optimization. As you know, we have refineries in multiple jurisdictions. And changes in trade policy such as tariffs, which seem to be coming can also affect Neste's competitiveness. Our guidance for 2025, and there are some changes. So, in terms of guidance, we are guiding sales volume. And in Renewable Products, our sales volumes in 2025 are expected to be higher than in 2024. In Oil Products, same situation, sales volumes are expected to be higher than in 2024. We're also guiding on our maintenance plan. So, there's going to be a five-week turnaround in Rotterdam in the fourth quarter and a six-week turnaround starting in mid-December in Singapore, which will then go over into January of 2026. There are no planned turnaround in Porvoo. We just had the big turnaround in 2024 spring. And on CapEx, the group full year 2025 CapEx outlook is going to be excluding M&A, approximately €1.1 billion to €1.3 billion. So, ladies and gentlemen, that is, in a nutshell, the information we had to share in presentation format to you in this section of the presentation today. I'd like to invite Anssi to join me here, and we will then take the questions and you will be moderating the questions. Thank you very much.
A - Riikka Toivonen: Thank you very much, Heikki and Anssi. And as mentioned, now it's time for the Q&A session. [Operator Instructions] Thank you.
Sasikanth Chilukuru: Hi. This is Sasikanth Chilukuru from Morgan Stanley. I have two questions, please. The first one on the sales margin. I was just wondering if you could isolate two factors that have impacted your sales margin, the first being the unplanned outages. What would have been the margin in case these unplanned outages weren't there? The other would have eased on SAF. What's the impact of the higher SAF volumes in these margins? The second one is on the plants. If you could confirm if the renewable plants right now are all available for production? If these outages that had been in 4Q have been addressed and corrected? And -- if you could share the key lessons learned from these operational hiccups such that they will not be repeated at least into 2025?
Heikki Malinen: If we could do so, Anssi you take the first -- the margin question, I'll address the second one.
Anssi Tammilehto: Yes. Thanks, Sasi for the good question. So, we've estimated the outages and the impact being approximately, let's say, north from €100 million, which means that it's less than $100 per tonne on a sales margin basis. We haven't disclosed the SAF margins separately, but what we have is, of course, the 195 [ph] of SAF in Q4, which is an increase and part of it is, of course, supporting the margin.
Heikki Malinen: Yes. To the second part of your question regarding the assets, so all plants are running. And I mentioned that we look forward to seeing stuff also in Rotterdam here in the near future. So, that's all positive news. Regarding your question on the key learnings, now that's an interesting question we could talk a lot about it. But to give you a short answer to that, I would say that -- I mean, it comes down to maintenance because the technology is sound. There is not a technological question. Its maintenance, it's really being more smart and savvy about predictive maintenance, about really drilling down on what are the areas which might potentially fail and trying to address them proactively. And I think that is part of the learning curve of the company, completely doable, and that will be one of the areas of my focus as we move into the coming years. Thank you.
Pablo Cuadrado: Thank you. It's Pablo Cuadrado from Kepler Cheuvreux. Two questions. One is on the -- I reckon on the guidance for this year, you talk about improving sales, biofuel sales, but you are not mentioning about margins. So, clearly, you have presented a very gloomy outlook on the industry. But I was wondering whether just taking into account also the savings that you are going to initiate, do you think that you can start to see some improvement on the sales margin on the Renewable Products division during this year versus last year? That would be the first question. And on the second, on the new cost cutting that you have announced today, shall we expect any kind of one-off costs in order to implement that we need to take into account for 2025?
Heikki Malinen: If I can just say one sort of principal question here on guidance. So, this industry, it's still fairly new. And my sort of thinking here, and I think our thinking collectively is that we're going to guide on things which we can control. And so when you look at sales margins, there are many things which are sort of beyond our control. So, we're going to focus on the things we can control, but would you like to address the more detailed technical question?
Anssi Tammilehto: Yes, exactly. And I think -- I think you raised an important topic and what is the profitability of the industry short-term, maybe medium term? And we have, of course, given our view on the -- how we follow the reference prices and what kind of premiums can we do on top of that. But as mentioned, it's largely driven by, for example, oil flat price, and it's beyond our control. So, we are guiding the sales volume for the full year. And we definitely see that the market is growing longer term, but we have to see when the situation then changes.
Heikki Malinen: And then on the redundancy question?
Anssi Tammilehto: Yes, on the redundancies, yes, typically, with the planned actions, there can be some costs that are incurred due to the process, which will then be, of course, taken into account in the financials. I don't have an order of magnitude on that for you at the moment.
Chris Kuplent: Thank you. It's Chris Kuplent from Bank of America. Two questions, if I may. You've given us a €350 million EBITDA improvement number. Can you put a little bit more color around that, whether you think, well, that's just the OpEx savings coming through and a little bit of volume growth? And perhaps I appreciate, Anssi, you can't control margins, but what would you consider that going forward? I think we've got a fair grip on mid-cycle refining margins. We're kind of back to roughly where we think they are. But maybe you can add a little bit of color around how you ended up with that €350 million figure? And the second question, if I may, just wanted to explore a little bit how much flexibility you think you have versus your 40% leverage target. And I very much appreciate that it's not just one number that you care about, I'm sure. But maybe you want to give us a little bit of an indication how important that is, should one quarter, whether it's turnarounds or outages push that leverage ratio above 40%? Thank you.
Heikki Malinen: So, actually, there were three questions embedded that. Now, let me ask you, hopefully, you can come to the next session because we will go through the €350 million program in significant detail. So, if you would not mind, I would like to address your question on that in a moment of time. But then regarding the leverage question and the margin sensitivity.
Anssi Tammilehto: Yes, exactly. Okay. I think it's a proper good question, Chris. So, what's the mid-cycle margin level. And we have said that the 2025, we expect the market to be in a way -- in a situation of overcapacity, meaning it's going to be long. That's our view on the market. It was also long in 2024. And a few companies in this industry are making profits at the moment. And we consider, obviously, our assets to being top notch in this game. And we will just have to wait and see how the short and midterm plays out, as mentioned before, difficult to predict, obviously. On the leverage, this is our target. We aim for 40%, below 40%. Of course, it's a combination of different topics, as you mentioned, but that's the aim.
Riikka Toivonen: Thank you. And now let's take a couple of questions from the online.
Operator: [Operator Instructions] The next question comes from Artem Beletski from SEB. Please go ahead.
Artem Beletski: Yes, hi and thank you for taking my questions. I would like to ask on term contracts for 2025. Could you provide how much you have termed in terms of RP and SAF? And the second question is really relating to sales allocation. So, how do you see Europe versus North America this year, I guess, North America is likely to be down compared to last year?
Heikki Malinen: Now, question, how much have we actually guided on this one. So, I'll look to -- weigh on you here.
Anssi Tammilehto: Yes. So, we, of course, have negotiated once again, term contracts for this year. It is approximately 60% agreed on term basis that we have, this is lower than in 2024 when we had a quite high number in term contracts. It was 80% in RD sales. The current number is a bit lower, also wanting to leave some flexibility in that. And in SAF, the logic is approximately the same. And the second question was related to the sales allocation. And of course, on top of this, we reserve quite a fair amount of spot sales and this is then allocated based on the best possible outcome. There, a big unknown, is still the CFPC in the U.S. So, how does that play out? And this is something that we are also waiting for confirmation, but we are building different scenarios obviously and optimizing accordingly then on that.
Heikki Malinen: Maybe on SAF, I could just comment. I think it's -- this is the first year where we have the 2% mandate in Europe. So, I think in some ways also industry players are a little bit probably, I would assume, customers observing how will things evolve. So, it's my understanding, actually, there isn't any specific moment when you have to buy this 2%, I mean, you can even wait until the latter part of the year to actually make your commitment. So, the actual -- how the volume gets spread throughout the year is still somewhat unknown. But we will intend to run the facilities throughout the year. And then let's see what the customers buy and when? We have two different channels. I mean airlines directly, we sell to them. And in most cases there, we blend ourselves or then we have channel partners, and then we distribute through them towards the airports. So, there are two primary channels to market.
Riikka Toivonen: Thank you. And let's have another question from the online.
Operator: The next question comes from Iiris Theman from Carnegie. Please go ahead.
Iiris Theman: Hi. Thanks for taking my questions. I have three, if I may, two related to your volumes in renewables, and one related to your dividend. So, related to your volume. So, do you expect any volumes other than from your marketing as planned to be sold in the U.S. this year? . And secondly, can you talk more about your expected volume growth drivers such as the new mandates in Europe that you mentioned in your presentation. There are -- we're seeing new mandates and how much they will bring new demand this year. And my third question is related to your dividend. So, you decided to pay a dividend, didn't so your net EBITDA was over 4 times. So are you anticipating improving market this year? Or what is the reason behind paying a dividend in this situation? Thank you.
Heikki Malinen: If I start -- but first of all, we can sell renewable diesel into North America in the U.S., and we can sell SAF, we will be supplying into Canada. And with respect to the U.S., we would expect that to take place as well. On renewable diesel, I think the final volume will be a bit of an optimization question. So, -- but of course, if there are business opportunities, we definitely will sell. Anything you would like to add on the volume before I comment on the dividend.
Anssi Tammilehto: Yes. You asked also -- Iiris, thanks for the question. You asked also about the mandate in EU. I think the topic we've been discussing the most lately has been the German -- German mandates and remains too busy on certain details how will that be played out, but that's one source of growth in the EU markets, also Italy being one of them. Also in Sweden and Finland, the mandates are increasing versus 2024. Predominantly, I would say that the RED III implementation into national legislation is going to happen most likely in 2026, but there is still upside in the 2025 RD demand through the mandates in EU.
Heikki Malinen: Right. Regarding the dividend, of course, that's a Board decision and ultimately then to be approved by the Annual General Meeting or Shareholders' Meeting. So, I think maybe this would be more of a CEO perspective on this. So, obviously, we do believe that we have a positive future for the company, and we're building this franchise in the long-term. We have different types of shareholders, and we try to find a way where we create value and provide total shareholder returns for the broad set of investors. So, anyway, the dividend cut is quite significant. It's a euro off the earlier figure. But I think the general view was that we wanted to pay that dividend, and we are able to manage the financing of it as well. €154 million, I think, is the numerical number on that.
Iiris Theman: Okay. Just a follow-up on volume allocation. So, basically, you expect to be able to sell volumes from your Singapore plant to North America. Is that correct?
Heikki Malinen: That is our intention. I have to say though that -- as we've seen from the news flow every week, the world is ever-changing. So, of course, anything can happen. But, as said, we have good refineries, we have customer relationships. We have channel partners. We're trying to serve our customers as best as we can. And if these windows open up, so we definitely will sell.
Iiris Theman: Thank you.
Riikka Toivonen: Okay. And now let's take some questions from the audience.
Peter Low: Hi, thanks. It's Peter Low from Redburn Atlantic. If I look at your reference margin chart, it looks like the reference margins actually improved in the second half of 2024 and the beginning of 2025, but your margin has continued to deteriorate. I understand that you've had the operational issues, but is there anything other than that, that's kind of contributed to that trend? And then the second question was on the term contract negotiations. You've kind of talked about having great customer relationships, kind of successfully concluding term deals. Can you give any more color on that? There was maybe some discussion last year as to whether you'd move away from just diesel-linked pricing and whether you could perhaps try and change that structure to lock in more of an acceptable margin. Can you give any update on that? Thanks.
Heikki Malinen: Tammilehto will start with the first one.
Anssi Tammilehto: Yes, I think the operational topics are the exactly the reason, as you described. Of course, lots of moving parts. And I think the market is anticipating how to react to the CFPC and the related details, and that might have an impact also on the European reference margin because it's a dynamic market and everything is impacting also in the -- to each other. But I think the main point is basically that despite the increase in the reference margin, especially towards the end of the year when there was tightness in the market, the California market was very tight and also the European market was tight, but we were, of course, lacking volumes on that point in time. Typically, Q4 is one of the strongest time in seasonal, the market should be, in a way, demand should be there to fulfill the mandate and that's visible, I think, also in the reference margin, but also some fluctuation with the market parameters like the feedstock and then the Middle East delayed prices. So, I think it goes quite nicely hand-in-hand with those ones. Then there was a second question on the pricing and the diesel.
Heikki Malinen: Well, maybe I'll comment on that. So, I think in terms of term contracts, obviously, the responsibility of our sales executives to constantly optimize and find the best balance between term deals or spot deals. And based on what you described earlier that at the moment is the optimum mix. So, there's no need to press sort of more term deals if we think that this is the optimum at the moment. Regarding pricing, it is, as you said, it is probably not the most optimal structure. There's no natural hedge between how the current prices can move and how the feedstocks behave and then there's a whole hedging question on how you try to find a better match, but I'm -- I don't comment on pricing policies, and I don't give any forward views on Neste pricing. So I'm going to refrain from discussing the -- how we think about the structure beyond what I said.
Alejandro Vigil: Hello. Alejandro Vigil from Santander. A couple of questions from my side. One is about the working capital that has been a source of inflows in the last part of the year. If you can give us any guidance about 2025, you're expecting some additional release of working capital? And the second question is about your joint venture in the U.S. I haven't seen any mention in the statement about the contribution of the joint venture in the U.S. in terms of results or in terms of volumes or how is working this year mature these days? Thank you.
Anssi Tammilehto: Yes. So, the first one was about the net working capital and how do we see that evolving in 2025. I think all-in-all, when we look at the operational hiccups we had in Singapore and in Rotterdam, which were, of course, disappointing. They also had an impact on the optimization of the inventories. But despite those events, we were able to really get cash from the machine and really to reduce working capital towards the end of the year. And we, of course, maintain tight discipline on that as well. And I think it relates also to the capital markets update topic because the improvement items, we are actually targeting also have net working capital embedded in them. So, I think it's one of the key levers to also reduce the net debt. So, maybe that answers that. And of course, all the time, it is important to manage the working capital. It's also a trade-off between capturing the market opportunities here and there, but also to optimize cash. So this is something we have to carefully evaluate that what kind of opportunities there are in the market. But that's something we do on a continuous basis, and it's one depends a bit what you steer, but I like the question. It's a very important theme for us. And the second was on a JV--
Heikki Malinen: So, if we have anything to say about the contribution.
Anssi Tammilehto: Yes, we say that it's a diluting impact that it contributes to our margin. I mean we are still optimizing the facility. It's a large facility. We get lots of efficiency benefits and economies of scale. It's a fairly extensive operation that we are handling in there with the partner. But at the end of the day, we still have work to do in order to improve the financials of that site. So, we still have a lot of work ahead of us. So, optimizing, for example, the logistics, the pretreatment and all those to the full extent remains a key priority going forward. However, now when we have ramped up the full capacity, of course, it helps in this situation.
Heikki Malinen: Maybe if I can just add a bit color to the working capital. So two observations. One is when we look at the inventory on feedstock. So we have many, many different suppliers for feedstock. It is -- in order to keep those sort of supply chains working, we need to take the feed when it's available. So, oftentimes, these are smaller companies or traders. So, if we don't take the feedstock, then it's kind of gone and because we know that the feedstock is valuable. So, it is better than to take it and hold that inventory. So, -- and you know that these supply chains are highly complex. Used cooking oil is collected from tens of thousands, if not hundreds of thousands of kitchens around the world. And then in terms of logistics, of course, we are shipping volumes across the planet. So even from that standpoint, there is working capital just simply because of the carry time.
Riikka Toivonen: And now the last question, please.
Kate O'Sullivan: Hi, Kate O'Sullivan from Citi. So, you've talked about the uncertainty of the clean fuel producers credit. We've seen recently, the U.S. Treasury have published some preliminary guidance on it and the great model. And one of your competitors gave quite clear indications of what the different feedstocks could achieve. So, a follow-up really on Martinez and estimates of the credit there that you think you can achieve? And you've talked about this again, just the optimization of feedstock, so what you can get to? And then just secondly on the Rotterdam expansion, obviously, we've seen cost overruns of about 30%. So, any drivers there? Thank you.
Heikki Malinen: So, I will talk about Rotterdam in a moment, but I'll just say very briefly to the main sort of issue here really relates to construction costs, but I'll discuss that in a moment in more detail. Please.
Anssi Tammilehto: Yes. With regards to CFPC and the grid model and the different carbon intensity scores of different feedstocks, it's a tricky one because we don't have any final document that might be that the current administration can revert back on the model that was agreed on with the previous administration. So, unfortunately, lacking all the final details on that model, but we are following, of course, what's being communicated on that front. And I think our Martinez site is well-positioned to capture those benefits because we now have the intention to increase the share of waste residues as we go forward. And that is actually one of our key strengths as a JV partner in that whole topic to be able to provide this low carbon intensity. And we have Mahoney, the used cooking oil collection platform in the U.S. So, I think we are well-positioned in that, but we are lacking details on the regulatory front.
Kate O'Sullivan: Could you just remind me what current feedstocks purchase [ph]?
Anssi Tammilehto: In Martinez, you mean? Well, we haven't disclosed the full details on the feedstock, but we are using various applicable feedstock for the U.S. market. Let's put it like that. But we haven't opened it up. But it's a different tech than what we use in our own refineries, we have in Singapore, Rotterdam and in part of our different pretreatment facilities that are basically based on our own technology, and this is a different tech that we have in Martinez, but now we have to learn how to maximize the profits out of that as well.
Riikka Toivonen: Our time is up. Thank you very much for your good questions. And now over to Heikki for the summary.
Heikki Malinen: Thank you very much. So, as said, 2024 was a tough year. Our performance was weak and it is not sustainable. Therefore, we have initiated a full potential program. And in a moment, we will go through the details of that program and what we intend to do and have started to do. We've outlined new financial targets, our philosophy on capital allocation, and we have also given you guidance based on a new set of approach, which basically looks more at the volume side, maintenance, and CapEx. So, that is all for today on this front. I invite you all to stay around and both online and live here and join us in the next session. When will that by the way, start?
Riikka Toivonen: The next session starts at 2:30. So, we will now have a break and thank you very much for everyone joining us online.
Heikki Malinen: Thank you very much. See you soon.